Operator: If you need assistance at any time, please press 0, and a member of our team will be happy to help you. Thank you for your continued patience. Your meeting will begin shortly. Good afternoon, and welcome to the Vail Resorts, Inc. Fiscal First Quarter 2026 Earnings Conference Call.
Operator: Today's conference is being recorded. Currently, all callers have been placed in a listen-only mode. Following management's prepared remarks, the call will be opened for your questions. If you would like to ask a question at that time, please press 1. To remove yourself from the queue, press 2. To get to as many questions as time permits, we ask that you please limit yourself to one question and one follow-up. At any time, if you should need operator assistance, press 0. I will now turn the call over to Connie Wang, Vice President of Investor Relations at Vail Resorts, Inc. You may begin.
Connie Wang: Thank you, operator. Good afternoon, and welcome to our fiscal 2026 first quarter earnings conference call. Joining me on the call are Rob Katz, our Chief Executive Officer, and Angela Korch, our Chief Financial Officer.
Connie Wang: Before we begin, let me remind you that some information provided during this call may include forward-looking statements that are based on certain assumptions and are subject to a number of risks and uncertainties as described in our SEC filings. Actual future results may vary materially. Forward-looking statements in our press release issued this afternoon, along with our remarks on this call, are made as of today, December 10, 2025, and we undertake no duty to update them as actual events unfold.
Connie Wang: Today's remarks also include certain non-GAAP financial measures. Reconciliations of these measures are provided in the tables included with our press release, which, along with our annual report on Form 10-Q, were filed this afternoon with the SEC and are also available on the Investor Relations section of our website at www.vailresorts.com. I would now like to turn the call over to Rob Katz for opening remarks.
Rob Katz: Thank you, Connie. Good afternoon, everyone. Thank you for joining our first quarter conference call. Before we discuss the results from the quarter and past sales results, I want to provide an update on some of the key strategies we laid out last quarter to drive visitation and evolve our marketing approach. Beginning in the fall, we made some shifts in our marketing approach to increase spending channels outside of traditional email, which drove improved results for the fall past selling period. This included broadly increasing paid media and specifically being much more present in social and influencer channels. We saw some initial positive results from this effort, turning around the past sales dollar trend for the post-Labor Day period from up 1% compared to the prior year through Labor Day to up 6% post-Labor Day, even though we faced challenging early season conditions heading into the final past selling period that likely impacted our local passholder results.
Rob Katz: As we head into the winter season in the Northern Hemisphere, we are turning our focus to driving lift ticket visitation. For this season, we have several new strategies aimed at increasing lift ticket visitation, which is an important funnel for driving long-term guest lifetime value. Earlier this year, we launched Epic Friends tickets, which provide a 50% discount to friends and family of pass holders. This pass holder benefit enables our most loyal pass guests to share their experience with their network of family and friends, who can apply the cost of that lift ticket to a pass the following year. In addition to the new Epic Friend tickets, we have also announced a new advanced discount offering for guests willing to commit one month in advance. The new lift ticket offer provides a 30% discount off window pricing for customers who commit over a month in advance at select resorts. That means that some of the company's largest destination mountains, skiers, and riders can save over $100 per lift ticket depending on the day by purchasing four or more weeks in advance. This provides another important bridge in product offerings for guests who cannot commit to a past purchase ahead of the season.
Rob Katz: In addition to our new lift ticket product offerings, we are also looking to be more strategic in pricing across our individual resorts and time periods. We are implementing more dynamic pricing strategies targeted at driving off-peak visitation at certain resorts, which fulfills the dual purpose of pricing select resorts more competitively and incentivizing visitation in lower volume time periods. We will be utilizing these strategies at resorts like Keystone in the upcoming ski season, where we see the most opportunity to offset lower prices with additional volume capture to drive overall revenue. Finally, in addition to purchasers of Epic Friends tickets, purchasers of Advanced and Window Lift tickets will be able to apply up to $175 of the cost of their lift ticket to a pass for next season. Growing lift ticket sales is a critical entry point for guests to join our pass program, and we believe it is critical to have an integrated approach across all lift access products. Given the widened spread between lift tickets and pass prices, we believe that even with these new discounts, passes still represent the best value for our guests.
Rob Katz: Moving now to our broader marketing efforts, we are looking to evolve and modernize our approach in how we reach and engage our guests. On the messaging front, we are in the early stages of creating content that builds a stronger connection with our guests by tapping into the passion they feel for our resort brands. Over the past quarter, we took some first steps to increase our media spending with messaging that celebrated the individual identity of each resort, which helped drive improved fall pass sales performance and incremental return compared to the spring selling period. We have also shifted our marketing to better capture guests at the top of the funnel, a key to building awareness, and have expanded marketing in channels where younger consumers spend most of their time, including social, video, connected TV, and streaming audio. While the full impact of brand-building marketing is expected to increase over time, we are seeing early signs that our investments in these channels are resonating with guests through increased engagement and outperformance versus our traditional branded creative stronger brand awareness based on guest research.
Rob Katz: The total magnitude of our actions around lift tickets and marketing will be less visible this fiscal year, but we are seeing early signs that reinforce our focus on these key areas. Longer term, we are focused on optimizing our products and pricing across our pass and lift tickets to drive long-term value creation. We are excited to have our new Chief Revenue Officer, Celeste Bergon, join us next month. Celeste has an incredible twenty-year track record of success at Lululemon and is a very strong business leader with a passion for guest experience and leadership. I'm more than confident that Celeste will make a very strong and long-term impact on helping us drive growth and ensure we live up to our mission of experience of a lifetime. I look forward to partnering with Celeste in modernizing our marketing engagement to drive future growth.
Rob Katz: While we've seen a slow start to our Rockies and Tahoe resorts due to challenging early season conditions, we've seen some strength in the Northeast and seen more typical patterns at Whistler Blackcomb and in Switzerland. Changing weather and snowfall patterns are not new to us, but they reinforce the importance of the stability we create from our past business, which remains a key long-term driver to our success. Overall, I am confident that we are working on the key areas that will drive our next phase of growth. We are laser-focused on delivering an exceptional guest experience, deepening our consumer connection with our resorts, and driving lift ticket visitation. While still in early innings, we are seeing early signs that our initial efforts are resonating. We will continue to look for opportunities to optimize our products and pricing to support overall guest experience for fiscal year 2027. Our calendar year 2026 capital plan, which Angela will go into more detail shortly, reinforces our commitment to improving guest experience through investments in technology and multiyear initiatives to continue elevating our destination resorts. With that, I will turn the call over to Angela to review our financial results and outlook more in-depth.
Angela Korch: Thank you, Rob. Good afternoon, everyone. Overall, we are pleased with the results from the first quarter, which were in line with our expectations. Resort net revenue was up 4% year over year as we saw improved visitation at our Australian resorts due to more favorable weather conditions and the introduction of the Epic Australia four-day pass. Fiscal first quarter resort reported EBITDA was flat year over year, reflecting the Australia weather favorability and the benefits from the resource efficiency transformation plan, offset by typical inflation in year-round overhead costs, increased marketing spend aimed at driving winter past product sales, and one-time costs related to the resource efficiency transformation plan.
Angela Korch: Regarding our Resource Transformation Plan, we expect to deliver approximately $75 million in cumulative efficiencies before one-time operating expenses of approximately $14 million in fiscal year 2026. This represents $38 million in incremental savings versus fiscal year 2025. As stated in our prior call, we anticipate exceeding the original $100 million annualized target and we're looking forward to providing more details next spring.
Angela Korch: Turning to pass sales, we finished the North American pass product selling period for the upcoming 2025-2026 ski season with units down 2% and sales dollars up 3%. We saw an acceleration in past sales trends from our September update, with pass sales improving from the 3% decline in units and 1% increase in sales dollars for the period ending September 19, to a 1% decline in units and a 6% increase in dollars from September 20 through December 5, 2025, reflecting improvements from our paid media investments and higher price flow through from an increased mix of unlimited pass products. While paid media drove positive results, snowfall was also down almost 60% versus the prior year at our Western North American resorts, which likely impacted local pass sales near the end of the selling period.
Angela Korch: The results from the full pass selling season show that the company now has approximately 2.3 million guests committed to our 42 North American, Australian, and European resorts in advance of the 2025-2026 season in nonrefundable advanced commitment products this year, which are expected to generate approximately $1 billion of revenue and account for approximately 74% of all skier visits excluding complimentary visits this year. We have grown pass units by 55% over the past five years, highlighting the increased guest commitment, which in turn provides greater financial stability to the company.
Angela Korch: Moving to guidance, we are reiterating our previous guidance range of $201 million to $276 million in net income and Resort reported EBITDA of $842 million to $898 million for fiscal year 2026. Similar to last quarter, our guidance assumes growth from price increases and ancillary capture, as well as the assumed benefit from the approximately $38 million incremental efficiencies related to the resource efficiency transformation plan, offset partially by lower pass units, which are expected to have a negative impact on skier visits relative to the prior year, along with normal cost inflation.
Angela Korch: What's changed this quarter is that while our paid media efforts have driven an early improvement in pass sales, we've also seen a slow start to the season from below-average conditions and recognize that it's very early in the North American ski season. We have seen conditions improve with recent increased snowfall, but recognize that most of our primary earnings period is still ahead of us. Therefore, we are reiterating our previously announced guidance at this point in time.
Angela Korch: Rounding out the fiscal first quarter, our balance sheet remains strong with liquidity of $1.5 billion and net debt of 3.0 times trailing twelve months EBITDA. We are confident in our ability to address our upcoming convertible debt maturity with a combination of cash on hand and our delayed draw term loan facility. Our capital allocation priorities remain intact, as we announced our calendar year 2026 capital investments at our resorts, along with maintaining the cash dividend of $2.22 per share. We continue to be opportunistic about share buybacks, having completed approximately 200,000 shares of repurchases after the quarter end for $25 million.
Angela Korch: Expanding on our 2026 capital plan, we announced a core capital investment plan of $215 million to $220 million, which reflects the growth in inflation, including the impact from tariffs. In addition to the core capital plan, the company plans to invest an additional $12 million in growth capital investments in its European resorts, $5 million in resource efficiency transformation projects, and $2 million in real estate planning capital. Including these investments, total capital is expected to be between $234 million to $239 million.
Angela Korch: Within our capital plan, I want to highlight our investments in a couple of key areas. First, we are making multiyear investments to elevate guest experience at our destination resorts. In Park City, we will replace the existing eight-passenger Cabriolet lift with a 10-passenger gondola, enhancing the accessibility and experience between the village and connecting multiple gondolas to the canyons village in the garage base area. At Whistler Blackcomb, we are also investing in a new lift to replace the Showcase T-Bar lift, which will greatly improve accessibility to skiable terrain on the Blackcomb Glacier. We are also rolling out a larger initiative around elevating our dining experiences at our top resorts, which includes remodels, as well as activations at our destination resorts.
Angela Korch: We are also beginning a multiyear investment at select resorts to implement remote avalanche control systems. These systems remotely trigger controlled avalanches, reducing manual intervention and improving safety, reliability, and the guest experience through faster, more consistent, predictable terrain openings. We're also investing to upgrade the Blitzen Lift at 7 Springs to ease congestion and improve the experience in accessing the North Bay side of the resort.
Angela Korch: Next, we are investing in technology to support the guest experience, with improvements and additions to the My Epic app, along with enhancements to our marketing capabilities and e-commerce platform. Within the My Epic app, we've added functionality that will provide guests with information they need and streamline their resort experience, allow for in-app commerce with Apple and Google Pay, and continue to invest in revamping and digitizing the ski school experience, integrating the My Epic gear experience into the broader rental platform.
Angela Korch: On the marketing front, we are modernizing our e-commerce platform by migrating to a new content management system to enhance personalization, flexibility, and speed to market. We're also expanding our capabilities for more agile pricing and product updates to capture revenue opportunities and improve operational efficiency.
Angela Korch: Last, we will continue to support our sustainability initiatives through investments in low-energy snowmaking at Epimo and waste reduction projects across the resort. We are also investing capital to support the Resource Efficiency Transformation Plan.
Angela Korch: In closing, we are leveraging our distinct competitive advantages and progressing on the drivers of our next growth phase to drive results in fiscal year 2027 and beyond. With our track record of disciplined capital allocation, we are laying the foundation to drive long-term sustainable growth and consistent value creation. At this time, I'm happy to turn the call back to the operator for your questions.
Operator: Thank you. At this time, if you wish to ask a question, please press 1. You may remove yourself from the queue by pressing 2. Again, please limit yourself to one question and one follow-up. We'll take our first question from Shaun Kelley with Bank of America. Your line is open.
Shaun Kelley: Hey, good afternoon, everyone, and thank you for taking my questions. Rob or Angela, I would love to start with the announcement yesterday. Obviously, it kind of builds on the momentum of what you did with Epic Friends over the summer. But just help us think about how you're thinking about quantifying an initiative like this. Just how do you expect it to play out between price and volume as you take another stab at the advanced period? How did you measure it? And when you put these two initiatives together, how are you thinking about when you're going to know if this trade-off was the right level to offer this product out to people?
Rob Katz: Yeah. So I think the drivers here, obviously, we have been talking about this for a little bit in terms of making lift tickets more accessible, being more competitive on that but also doing it in a disciplined and fenced way. In our mind, this was a unique opportunity to address this moment in time. There are some people who will book a vacation before they know they're going skiing. They're going to buy a pass before the deadline that just passed in December. Then there are other people who may be truly making a decision right in the moment on that day. But there's a bunch of people who are not ready to make their decision by the December deadline but are still planning a vacation in the future. So when they go to our website, they will now see these lower prices. As they think about the ability to make this decision, they're going to be looking at those lower prices on the website. That's one. So we're trying to catch them in their booking phase and in their comparing phase. Two is that we are providing a call to action for lift tickets that we think is a little bit stronger than what we've had before. So now when somebody's going to a website, for instance, somebody's on the site now looking for MLK, they'll know that they only have a little bit of time if they want to book a lift ticket. And we're going to be showing them that on the website. So that actually creates some time sensitivity to their purchase. Last is that once people don't buy a pass, we see very few people buying lift tickets this early. So in our minds, it was also an opportunity to start getting a little bit of the mini advance commitment piece, which we thought was more important than just a seven-day advance or the three-day in some resorts that we have today. So in our mind, we looked at that and thought this would move enough vacation decisions plus enough additional incremental days of skiing even for people who are already going to come, that trade was worth the cut in price.
Shaun Kelley: Great. Thanks for that. And then for my follow-up and maybe to switch gears slightly, obviously, comments on the weather on the one side, but what we saw on the past trajectory on the other seem to offset each other here a little bit. But just wanted to dig into that core message if you could. Was the message here that all other things equal, we could have actually raised had it not been for what you're seeing in the early conditions on the resorts? And then, if so or regardless, just help us think about, is that comment on the weather through today, or have you also de-risked a little bit as we look into the forecast here just knowing that this is always evolving with weather?
Rob Katz: Yeah. I guess what I'd say is I'm not going to comment on a hypothetical around guidance. But I would say that we did over-deliver on passes. And even that over-delivery on passes, we think, was muted by challenging weather at the end when, obviously, that March consumer is not as motivated. Last year, at that exact time, we had very strong conditions. So we had a little bit of a tougher comp at the very end than we did this year. But we were really pleased with the turnaround, particularly the revenue turnaround, right, up 1% through Labor Day and now up 6% post-Labor Day. And it speaks to a lot of what we've been saying in terms of changing how we're going to engage with guests and then particularly drive much better results from our higher-priced pass products. In terms of conditions, I think the comments we're making about guidance are assuming a normal experience at our resorts over Christmas. It's really not possible for us to assess anything beyond that. Obviously, we've all seen conditions change dramatically in just a couple of days. So at this point, that is where we're focused. I do think that some of the early, by definition, we lost some momentum in the early season just given sluggish conditions, but that is factored into our guidance.
Shaun Kelley: Thank you so much.
Rob Katz: Thanks.
Operator: We'll take our next question from Ben Chaiken with Mizuho. Your line is open.
Ben Chaiken: Hey, thanks for taking my questions and apologies for any background noise. I guess sticking to the past, as you strategize for next year, Rob, it'd be helpful to get your current view on past benefits. And maybe specifically, how do you think about third-party benefits to the past? How focused are you on this opportunity? And then one quick follow-up. Thanks.
Rob Katz: Yeah. So I think we are taking a look holistically at every piece of this. And as we've said, we'll look at pricing, we'll look at pricing of the different products and see. Our focus, as it's always been, is about driving and maximizing long-term revenue. And so that's going to be a key driver for us. We absolutely look at third-party benefits. We do a lot of research, direct primary research with our guests and actually broader destination guests on this. And I think some of those benefits can move the needle, but it's really on the margin. I mean, I think people really are looking at this, and they're looking at price, and they're looking at access to the resorts. And it's about, like, whether we have the resorts that they want to go to, and is that at a price that's reasonable? Of course, there's no doubt that people would love to have, you know, cut the line, they'd love to get on the mountain earlier and things like that. Certainly, those things move the needle. The Epic Friend tickets, what we used to call buddy tickets, we have seen that that's quite important, especially to our Spring Pass purchasers. I think the third-party benefits are kind of a nice to have, but it's certainly not what we see as the primary driver of results.
Ben Chaiken: Got it. Okay. That's very helpful. And then as you think about the price adjustment made yesterday, as we sit here today, does that make sense for the overall path in the future to evolve as well, whether that's through an extended deadline or different price points? I guess just thinking about the positioning of the whole mosaic of the company today.
Rob Katz: Yeah. I don't see us extending the deadline for passes. So, I mean, right now, that is very much a key part of how we provide that discount is that it's before the majority of the ski season has started. And that, you know, if you're buying products after that, they are refundable. And so that's true even with the product we just talked about. So this thirty-day advanced ticket is refundable ultimately. So it is why there's still a delta, it's a pretty significant delta, between that and buying a pass in terms of what you could ski for by the day. So I think that the price, the core structure of this, we're not anticipating changing. But we do think there's an opportunity for us to be more creative about how we market lift tickets. And I think there's an opportunity potentially for us to be a little smarter about how we price all of them.
Angela Korch: I'd just say on the spectrum there, it is consistent with what we already do with our passes. When you think about the deadline approach we have with passes, the greater you commit in advance, the better price you get within pass. And so this is a similar thing with lift tickets. We had a seven-day advance lift ticket. Thirty days in advance is kind of extending that out, but in a similar structure. And describe the similar behavior that we're trying to do, is to commit in advance.
Operator: We'll move next to David Katz with Jefferies. Your line is open.
David Katz: Hi, afternoon everybody. Thanks for taking my questions. Firstly, I'd like to just focus on the technology investments. And, you know, just talk about how you think about returns on those investments. You know, obviously, they enhance the experience. But what are you able to measure in terms of maybe preschool lift or other ancillary spend that may occur as you make those investments?
Rob Katz: Yeah. I think, absolutely. They drive, I think, two things. One is they definitely improve the guest's digital kind of guest experience and the technology piece. Or they're enhancing kind of the in-person experience like we are doing with ski school or with rental. But a lot of these technology investments also help us improve conversion. And, certainly, if you compared it versus putting in a new lift, actually, it's a lot easier to track the return on these investments because we're getting the real-time feedback and can see it. In particular, I think the focus that we're putting on the app right now, we're seeing a lot of traffic growth to the app and on mobile, and we are currently, in mobile, obviously, if you're on a mobile website, certainly, we can take payment. But in the app, we're not doing any commerce, and we don't have easy ways like Apple Pay and Google Pay to close a sale. And so we do see that as having a direct improvement in our ability to drive sales. We're going to be starting with basically lift access products, but ultimately, we will have ski school and rental in there as well. And so now when we look at ski school, for instance, for this year, I would say one of the key things is going to be seeing how guests react to the digital ski school experience that we're going to be providing. I don't know whether it's necessarily going to have an impact this year on conversion. But, obviously, to the extent that we can improve our guest experience scores and net promoter scores within ski school, then we expect to see that actually come back certainly in follow-up visits or in next season.
David Katz: And as my follow-up, I'd like to go back to Shaun's first question and maybe ask it in a bit more direct way since it's something that comes up in our conversations quite a bit. With respect to the discounting on lift tickets, I think what we're all at least in part trying to figure out is whether there is kind of a reset in lift ticket revenues separate and apart from past revenues, and or whether those decisions that you're making are producing incremental revenue now, or are they setting you up to create incremental revenue in the future? We're all trying to sort of plot your revenue growth and put it all together.
Rob Katz: Yeah. So what I would say is I think if you look at our lift ticket visitation over the last couple of years, it's declined at the same time that our season pass revenue has basically been flat. And so, you know, it's and particularly on visitation. And so when you look at that, I think that's not that relationship is not something that, you know, I think it was one thing to see lift ticket visitation decline when we were growing past units dramatically. But to the extent that we are seeing more mature growth in season pass, we should see growth in lift tickets. And so this is one of the things that, you know, Epic Friend tickets would be a way. Being more creative on pricing and more differentiated on pricing at our resorts is another way, which we're doing. Another way is the promotion, the 30% off promotion that we announced yesterday. Another way is increased marketing and improving the brand and all I'd say, the basic blocking and tackling of marketing, of lifting tickets, which we were not really doing in the same way that we were doing for past before. So, yes, we do see this as adding revenue, and we do see this as adding revenue this year, and that is included within our guidance. It is included when we put out our guidance and highlighted that we saw past visitation declining, but overall, that would be offset by lift ticket visitation improving that was included in that. What we're saying, though, is that we think these things take a few years to get into the guest psyche. It's not I think one of the things we've learned over time is that just like when we introduced the Epic Pass a long time ago, it wasn't that everyone in the entire ski industry was aware of it and all of a sudden started making decisions around it. It took time. These new things that we're doing, I think, are the same. That'll have some impact this year. But we think we'll see better impact with Epic Friends and this 30% off four-week-out ticket as guests really start to get in that habit.
David Katz: Very helpful. Thank you.
Operator: We'll move next to Arpine Kocharyan. Your line is open.
Arpine Kocharyan: Thank you very much. Thanks for taking my question. This is a bit of a maybe unfair question since I'm about the current quarter, but I was wondering if you could speak to broader visitation trends into November and early December in terms of seeing traction with some of the promotional initiatives you have going on for the season. But specifically within this broader bifurcation in the consumer space between upper end and lower end, what are you seeing in regional versus destination resorts? Do you see that leverage of lower pricing kind of discounting working better at regional resorts, while maybe higher end not as price elastic, and maybe there isn't much need to discount with those guests?
Rob Katz: Yeah. I think we said in our comments, and I'd reiterate that, I think we're in very early innings of even this season, let alone the life cycle of a lot of these changes that we're doing. And what we're seeing is encouraging. But it's hard. Obviously, we're not ready to really speak to a lot of this because the season has barely begun. And, of course, conditions are impacting so much of this in terms of looking at current visitation. So really hard for us to assess. A lot of this, I'd say, on the broader point about upper end versus lower end of the consumer, I think at this point, we're not ready to suggest that any of our results are being impacted by that. That's maybe a broader point about the economy and broader points about travel. But I think it's a little too early for us to comment on that. I think a lot of what we're seeing we think is much more about our own trends than it is necessarily about macro trends at this point.
Arpine Kocharyan: Thank you very much. Thanks.
Operator: We'll move next to Patrick Scholes with Truist Securities. Your line is open.
Patrick Scholes: Hi. Thank you. You know, as you think about changes to your past structure, I've seen that there's been the announcement of the ICON reserve type of pass. Would that ever be a consideration for you folks? That type of pass?
Rob Katz: Thank you. You know, I would say, you know, everything is always a consideration for us. So, you know, I think in terms of having some more premium experience, that's something, you know, we clearly will always think about and focus on. I think, you know, some of the things that they're doing, you know, we have in some of our higher-end resorts, obviously, like private clubs and private dining, and then, obviously, you know, ski school for us is a major driver. So it's almost like a club in and of itself, right, in terms of getting the line-cutting privileges plus concierge-type support services plus, obviously, ski instruction, you know, in the midst of all that. So, you know, it's something we'll always look at, but for us, like, just like a lot of the other changes that sometimes people suggest, you know, we have to look at how it would impact the total ecosystem and other sources of revenue and other business lines that we have. But for us, we really do feel like we've got some pretty good avenues for our upper-end guests if they want to spend more on their vacation and get some unique services.
Patrick Scholes: Okay. And then sort of a breaking news, well, there's a chance Telluride may go on strike. Roughly, how much does, in a normal year, does your relationship with Telluride and the Epic Pass contribute to your overall earnings ballpark?
Rob Katz: Well, it's, I mean, I think it's, yeah. The relationship is, it doesn't, Telluride doesn't necessarily contribute to our earnings. Into the year. I think access to Telluride helps pass sales, which is important. And, you know, obviously, we are very hopeful that they can find a way to resolve the differences and that they have an amazing ski season ahead.
Patrick Scholes: Okay. So, you know, it's pretty small, I assume, in the big picture of things because you don't own it. It's just a past relationship, essentially. Correct? Right. In a nutshell. Okay. There's no earnings from Telluride that go to us. Okay. Okay. Okay. Okay. That's it. Thank you.
Rob Katz: Thanks.
Operator: We'll take our next question from Chris Woronka with Deutsche Bank. Your line is open.
Chris Woronka: Hey, good afternoon, everyone. So I guess, Rob, as you kind of get this year and understanding the slow start, but if you kind of look at, I know you've always viewed lodging bookings for both holiday periods and then further out into the spring as a little bit of an indicator. Have you seen any change in pattern or booking behavior in terms of people, maybe if you look at the same customer coming that has, you know, an Epic pass, are they waiting longer to book? Are they booking shorter or longer? Any patterns you can see yet?
Rob Katz: You know, what I'd say is I think there's no doubt that I think as conditions were not great during November and early December, we definitely have seen a booking deceleration by that. But the flip side to that is we've also seen it rebound very, very quickly. And so that's not that uncommon in terms of where we are. I think, obviously, we go into the season with a billion dollars of revenue on passes, but those represent visits. Like we're saying, almost 75% of our visits. So those are folks who are going to come, most likely, as we see in every year. But, yeah, we do see, of course, people are trying to pick and choose, like, when's the right time to come. I think, you know, for Christmas, we're going to get a lot of folks who, you know, because a lot of our biggest destination resorts, they have incredible experiences, right, not only on the mountain but, of course, in the town and with other activities. And so what we see, actually, there's been a lot of evidence of this. And even in years that were slower for us on the mountain, sometimes, actually, it's been record sales tax years for some of these towns. So, actually, for us, we feel like that's where this combination of a broad set of experiences that people have plus the past pulls people in. And, yeah, then it's just a matter of how many visits do we get during Christmas. And when snow comes and when conditions shift. But at this point, we've kind of factored that in. And assuming that we have a more normal Christmas experience, we feel very good about the guidance.
Chris Woronka: Okay. Understood. And then as you, and this kind of question relates to both your new friend pass to friend tickets and also just your overall goal of getting more folks onto the mountains. Any early read yet on how ancillary spend looks for kind of the first-timers and what you're kind of embedded in your expectations related to ancillary spend for first-timers?
Rob Katz: We don't, I'd say, yeah, it's way too early to try and assess that because I think that's something we'll probably have a much better sense of much deeper into the season. But I would also say that, you know, there'll be some people who are true first-timers. There'll be some people who just couldn't make up their mind, you know, in Epic Friends, for instance, before the past deadline. Then there'll be other people who are normal lift ticket purchasers, who are just going to be, you know, committing thirty days in advance. So for us, these guests, I think, our destination guests largely we see as a cohort in terms of their spend on the mountain, and we would expect that a lot of these folks who are coming in would be quite similar to those folks.
Chris Woronka: Okay. Very good. Thanks, Rob.
Rob Katz: Thanks.
Operator: We'll move next to Jeffrey Stantial with Stifel. Your line is open.
Jeffrey Stantial: Great. Good afternoon, everyone. Thanks for taking our questions. I wanted to follow back up on one of Shaun's questions from earlier. If I heard you correctly, Rob, I think you described the thirty percent one-month advance discount as sort of unique was the term I believe you used. I guess my question is this, could this represent a bit more of a transition or a long-term evolution towards a suite of, call it, advanced lift ticket discounts, whether it's, you know, four weeks, three weeks, two weeks, and it starts to become really more of a yield management exercise more than anything else? Or to that point, by unique, should we think about this more as one-off? And then just as a corollary to this, how do you think about the potential for AI to sort of simplify the consumer purchasing journey and help enable some more differentiation than you've been able to drive historically? Thanks.
Rob Katz: Yeah. Sure. So I think, I don't remember if I said it in the prepared remarks, but if I said it in the answer in terms of unique, what I'd say is I think it's unique for us. We have not had a product like this before. At this point, no. We're not anticipating having, you know, kind of multiple products that, you know, you know, by seven days, ten days, fifteen days, twenty. We're not thinking that. I mean, I guess it's certainly possible. I would say yes. I think AI does help quite a bit, and it's certainly something we are using in terms of taking a lot of data and synthesizing it down to give you some insights. And so when you look across how many resorts we have, how many lift ticket products we have, and how many pass products we have, that give essentially the same access and all the different, you know, advanced dynamics. We do think that AI can help kind of really take our information plus research and assess, like, what's the right pricing point and approach for that. But in the end, of course, it's still business judgment. And us setting our strategy for what we think makes the most sense for the company, and that's still going to be, you know, that it's us ultimately setting pricing based on, you know, what we think ultimately drives revenue.
Jeffrey Stantial: That's great. Thanks. And then turning over to the lodging side of things. I'm just curious if you think there's an opportunity to sort of run similar initiatives as what you're doing right now with the window and the lift ticket side of things, whether it's, you know, more advanced, some sort of discount, just, you know, obviously, lodging is a material piece of the budget for a destination guest coming into one of your resorts. So I'm just curious if there's an opportunity to sort of rethink pricing there as well.
Rob Katz: Well, I would say, I mean, lodging is already a highly dynamic pricing system. It basically is participating in the broader lodging dynamic pricing system. So there, right, obviously, we're changing price all the time, like, literally on an almost daily basis. Based on what we have in inventory, we're seeing out in the market. So it is a very different ecosphere than what we see in lift tickets and passes. So I'd say, no. I don't see us trying to do what we're doing right now on lift access to lodging because lodging is much further along. I also don't see lift access going to where lodging is either because they're just different businesses, and I think we respect that. But we feel good about our entire approach to lodging. I think we absolutely are leveraging the right technology and very much looking at all of our competitors to ensure that we're driving the most revenue.
Jeffrey Stantial: Thanks very much.
Rob Katz: Thanks.
Operator: We'll take our next question from Brandt Montour with Barclays. Your line is open.
Brandt Montour: Good afternoon, everybody. Thanks for taking my question. So the first question is, I think it was pretty clear, Rob. You know, the pricing discounts and cuts that you've talked about throughout the call are more than offset by volumes, and you said you thought you were going to, you guys baked in some incremental revenue for these. And so I guess the question is, when you think about that incremental revenue that you baked in, I know you're trying to give that number, but is that piece more coming from what you called out today, selectively being more aggressive on dynamic pricing from window tickets at certain resorts, or is it more from the thing you announced yesterday, the month-ahead 30% discounted ticket program?
Rob Katz: Yeah. We're not going to give specifics on that. But, yeah, all of these things come together, including Epic Friends, to help and marketing, right, to help in terms of marketing. I mean, additional paid media, better brand elevation, more top of funnel. I mean, all of these are things that are all coming together to create the guidance that we have. And so, yeah, at this point, tougher to parse it out. But I would say, yeah, we absolutely see this as driving additional revenue because, yeah. I mean, that's based on the assessment that we have and what we look at in the market and what other people are doing. In a way, just because, you know, we've been, again, if you go back historically, right, we have been, we really haven't been focused on lift tickets to drive lift tickets on their own. We've really been focused on moving people to a path. So you just haven't seen this level of dynamic approach that we're taking today. So I think it maybe stands to reason that you're going to see some benefit from this, you know, now that we're really putting our muscle behind it.
Brandt Montour: Okay. That's helpful. I appreciate it. A follow-up on this, though, will be, you know, for that sort of more dynamic pricing at select resorts throughout the season. Can you just benchmark us on sort of what you did before? I mean, we remember you talking about pushing into off-peak before, but, you know, it wasn't really a situation where you were taking price down specifically. What were you doing before? And then what also can you see in your data as you were raising prices that kind of gives you the sense for the elasticity that you need to see for this to work out in terms of volumes?
Rob Katz: Well, I'd say two things. One is, in terms of what we're doing before, well, we had, I mean, there's certainly activations at the resort. Obviously, pricing was lower. Lodging pricing was lower in off-peak than in other time periods. Ski school prices were lower. Rental prices were lower. So it's not that, obviously, we weren't ignoring it. But in a way, right, we're, but so much of our focus is on a path, and the path, you know, really wasn't focused on peak. I mean, there's some passes that have blackout dates, some didn't. So we were focused, but we were not really focused on when actually going to use the product. It was much more of a focus on just getting them into the program as a whole. So, like, this is a pretty big shift in terms of where we're sitting today and how we're going to go about this. And I would say that we, yeah, we have done a number of price tests on different things at different resorts that are not, you know, we're not going to call attention to. But we actually do get learning from that. And a lot of what we've launched so far has been built on the experience that we've gleaned from a number of those things. And, again, it's helpful because we have a lot of data capture, and we have a lot of personalization amongst our guests, and so we can really track and we can compare resort to resort. We can compare different periods. So that allows us to do some things that, you know, obviously, are tougher to do if you don't really have the same breadth that we have and that we could bring. And I'd say, yeah, of course, the other piece is, well, we have just the broad piece that I mentioned earlier, which is our lift ticket sales were down the last two years. Even though the industry's lift ticket sales were, I think, flat and then up or maybe up in both years. And so, you know, I would say that that's also a test that clearly we're doing something that wasn't working. And so which is why it's not like we're not saying that it's just about price. What we're saying is it's about these multiple things. It's about price. It's about promotion. It's about engaging with guests. It's about brand and the individual resort brands. So, you know, it's and it's about, yeah, this kind of top of funnel advertising versus call to action. I mean, so we see this as a multipronged effort, not just, oh, price.
Brandt Montour: Super helpful. Thank you.
Operator: We'll move next to Megan Clapp with Morgan Stanley. Your line is open.
Megan Clapp: Hi. Thanks so much for taking our questions. The first one I wanted to ask is about the larger initiative you mentioned to enhance your dining offerings. Can you talk about what the impetus was for that investment? Was it driven by guest feedback? And maybe at a high level, how you're thinking about your value proposition there and how impactful you think the investments will be ultimately for your ancillary business.
Rob Katz: Yeah. I think one of the challenges I think we saw from COVID was we went into COVID and although it was terrific that we could operate the resorts, you know, in that second year, you know, kind of, you know, 2020, 2021, we couldn't, we barely could operate our dining. And then even in the following year, we also were operating at a much more scaled-down level. And I just don't think the company has fully come back from that. I think maybe we're a little slow to do that. And I think, you know, a little slow maybe to realize that it was going to take the consumer more effort by us to get them back into our restaurants. It wasn't going to be enough for us to do what we were doing before COVID. We actually were going to need to do some new things. And so the things that we've launched are really, one, having a much greater level of personalization and creativity and merchandising branding in each outlet, both resort by resort and within each resort. So, you know, I think, yeah, giving more initiative opportunity to people managing all of these locations but at the same time having a central team that's watching all of it then saying, wait. Here. This is working. That's not working. We should try this. We should try that. And much better data. So that's key. Then two is, yes, the investments we're making, which are really, I'd say, threefold. One investment is we're actually improving the dining physical structure of the dining. Sometimes it's adding new food or stations. Sometimes it's just upgrading the visual look of it. Or upgrading kind of how people move through it. We also have another initiative where we are trying to optimize seating. And so we've gone back and looked at table size and chair size and everything else and how we're laying out each dining room. And, again, we know with technology and a centralized approach, we can kind of compare and contrast what's working in one place, what's working in another place, and make sure that we're doing what we can on that. And then last is ultimately the food itself. And then this is not a capital investment, but more of an operating investment in terms of how we can invest in the food, either elevating ingredients or providing more breadth. So, you know, it's and we do see this as also an effort. Where I think you'll see even more of this as we go into FY '27. Where we've got a lot of work going on right now on, yeah, what are ways for us to really differentiate on the food business.
Megan Clapp: Got it. Thank you. That's very helpful. And then just one quick follow-up on the improvement in past sales trends post-September. You saw it in both pricing and in units, but you mentioned that the marketing investments helped improve mix sequentially. I guess my follow-up there is, was that an intentional byproduct of your marketing changes? You know, should we expect to see more improvement from mix going forward, or do you think, you know, maybe units may accelerate a little more as we go forward and as these initiatives mature?
Rob Katz: Well, I think we're, one, we're obviously going to try to drive growth. But, yes, our marketing was, you know, I think a little more heavily weighted this year to our unlimited products. One, the Epic Friend tickets are for unlimited products. And the Epic Friend, we extended it for the first time into the fall so that fall purchasers of unlimited products could get Epic Friend benefits. We also, you know, doing more upper funnel kind of brand building and brand connection. We also felt, you know, was directed at these folks who are making a bigger commitment. And, you know, really trying to inspire their passion for the business. And that is something that we intend to do, I think, you know, more of and, candidly, a much better job of as we have more time to prepare as we go into next year. I think we are going to be focused on those unlimited products. I think we've done an, you know, maybe much like the season pass, the pass and lift ticket piece. You know, we've done this incredible job of building out the Epic Day pass product line and promoting that and bringing new people in. And obviously, when you look at the growth we've had over the last, you know, four years, it's been significant. A lot of it coming in Epic Day. But we also think it's now an opportunity for us to go back to that kind of unlimited pass holder and the Epic and Epic Global pass holder to make sure that they're feeling, yeah, the strong connection and incentive to go into those products.
Megan Clapp: Got it. Thanks so much.
Operator: This concludes the Q&A portion of today's call. I would now like to turn the call back over to Rob Katz for closing remarks.
Rob Katz: Thank you all for joining our first quarter fiscal 2026 earnings call. I want to close out by saying that our path to sustainable growth is clear. And I'm confident we're focused on the right priorities to keep advancing these strategies. I'd also like to take a moment to thank our dedicated team members, particularly our frontline employees, as they create an experience of a lifetime for our guests. It is only because of our team's commitment and passion that we are able to deliver on this mission. With that, thank you all again for your interest and time, and we look forward to seeing you on the slopes this season.
Operator: This concludes today's Vail Resorts, Inc. fiscal first quarter 2026 earnings conference call and webcast. You may disconnect your line at this time and have a wonderful day.